Operator: Ladies and gentlemen, thank you for standing by, and welcome to the JinkoSolar Fourth Quarter and Full Year of 2019 Earnings Conference Call. [Operator Instructions]. I would now like to hand the conference over to your first speaker today, Ms. Ripple Zhang. Thank you. Please go ahead, Ripple.
Ripple Zhang: Thank you, Operator. Thank you, everyone, for joining us today for JinkoSolar's Fourth Quarter and Full Year 2019 Earnings Conference Call. The company's results were released earlier today and available on the company's IR website at www.jinkosolar.com as well as on Newswire services. We have also provided a supplemental presentation for today's earnings call, which can also be found on the IR website. On the call today from JinkoSolar are Mr. Chen Kangping, Chief Executive Officer; Mr. Charlie Cao, Chief Financial Officer; and Mr. Gener Miao, Chief Marketing Officer.  Mr. Chen will discuss JinkoSolar's business operations and company highlights, followed by Mr. Miao, who will talk about sales and marketing. And then Mr. Cao, who will go through the financials. They will all be available to answer your questions during the Q&A session that follows.  Please note that today's discussion will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our future results may be materially different from the views expressed today. Further information regarding this and other risks is included in JinkoSolar's public filings with the Securities and Exchange Commission. JinkoSolar does not assume any obligation to update any forward-looking statements, except as required under the applicable law. It's now my pleasure to introduce Mr. Chen Kangping, CEO of JinkoSolar. Mr. Chen will speak in Mandarin, and I will translate his comments into English. Please go ahead, Mr. Chen.
Chen Kangping: Thank you, Ripple. Good morning, and good evening to everyone, and thank you for joining us today. Frankly speaking, from the rapid expansion of our mono wafer production capacity during the second half of 2019, and our industry-leading integrated cost structure, we closed out the year with a very strong performance in which solar module shipments total revenue and gross profit all hit record highs for both the fourth quarter and the full year. EBITDA was $380 million in 2019. Non-GAAP net income for the year came in at $140 million, while gross margin expanded to 18.3% or significantly improved when compared to last year. 2019 marked a significant milestone in our corporate history in which we successfully completed our transformation into the most competitive solar manufacturer in the world. The efficient execution of our strategy throughout the second half of the year allowed us to rapidly transit operations and facilities from multi to mono production and steadily increase the proportion of products made through our fully integrated manufacturing process. This allowed us to rapidly begin mass production of our innovative solar products and distribute them to our growing customer base, eager to benefit from their increased efficiency. We also further refined management process to further optimize operational efficiency across our business and supply chains, which significantly reduced manufacturing costs. As a result, we closed out the year with a significantly expanded share of the global market, which ideally positions us to continue doing so in the year ahead, where we expect solar module shipments to increase by approximately 35%. New installations globally grew steadily throughout the year. New installations in Europe doubled in 2019, while ASPs in the United States remained high as a result of constrained supply. A number of emerging markets are flourishing with many of them approaching gigawatt levels, which we believe reflects the direction the market is headed with demand diversifying globally instead of being concentrated in a few large markets with great parity rapidly approaching. The long-term growth potential of the industry is rapidly opening up. Governments across the globe are increasingly devoting more resources towards the development of clean energy and are quickly rolling out plans with medium to long-term targets for clean energy production. We believe global demand in 2020 will continue generating strong growth momentum with newly added inspirations, expected to be in the range of 140 to 150 gigawatt, an increase of around 20% year-over-year.  Turning to the domestic market, the delayed announcement of the government subsidy policy for PV projects in China in 2019 left little time for companies to plan and submit project divestment applications, which result in many of them being pushed back into 2020. The subsidy for 2020 is finalized earlier in the year. That was down last year, which will allow more time for project development, planning and application, and will result in higher overall completion rate.  With a number of projects from 2019 delayed into 2020, total installations in China is expected to be in the range of 40 to 50 gigawatts in 2020, an increase of about 50% year-over-year. I will let Gener go into this in more detail later. Since the beginning of 2020, China has been fighting the outbreak of COVID-19. Local governments across the nation have implemented a series of comprehensive and stringent measures to prevent its spread and bring the outbreak under control. These measures included extending the Chinese New Year holiday, organizing and distributing medical resources and strict controls on transportation, which has impacted the solar industry. Based on our internal data, denying the return to work created a shortage of certain raw materials leading for production impacts, OEM capacity and creating logistics, bottlenecks and delays. This has affected the module shipments during the first quarter, which has been postponed to the second quarter.  In response to the outbreak, we implemented a number of initiatives to ensure business continuity, including ensuring the safety and health of our employees and minimizing the impact on production and the delivery side impacting us on critical raw materials and optimizing production and logistics. The situation is gradually improving as the economy is gradually up. The temporary impact on our supply chain and logistics has improved, and our current capacity utilization rate has already reached 100%. We estimate that 400 to 500 megawatts of our solar module shipments in the first quarter will be delayed into the second quarter, which will cause shipments in the second quarter to increase significantly. Thanks to these measures we believe the impact on our shipments and capacity expansion plan for the full year of 2020 will not be impacted. Technology remains key to strengthening our competitive edge in the market. We increased our investment into R&D in 2019, which results in our product breaking sales, efficiency and module output world record, twice in June 2019 and once in January 2020. We recently appointed a Chief Technology Officer, who will lead and accelerate our R&D efforts and quickly apply them to the mass production of our solar product. In May 2019, we officially launched the latest addition to our range of premium Cheetah products, the "Swan" bifacial module with Clear DuPont Tedlar-based backsheet. The modules comprehensive performance, quality, innovative design and industry application was recognized with the receipt of the Intersolar award 2019. In October 2019, we set a new standard for the industry with the launch of a new high efficiency Tiger module using 9-busbar Mono PERC and Tiling Ribbon technology.  We were the first in the industry to solve technical problems using Tiling Ribbon technology, and the first to begin mass production of high-efficiency modules with minimum cost. As part of our differentiated product strategy, we released a new generation of N-type modules tailored for the residential market, which has been widely adopted by customers for its ultra high-efficiency and cost effectiveness. These breakthroughs demonstrate our ability to lead the industry technologically in terms of power generation efficiency and energy density.  Going forward, we will continue to allocate resources towards the development of cutting-edge technologies and accelerate the mass production of our innovative products, leveraging the significant advantage our fully integrated industrial chain provides. In 2019, our ability to constantly drive technological breakthroughs, coupled with our expanding production capacity for high-efficiency products continue to drive down manufacturing costs. Our integrated cost structure now needs the industry. On wafer side, we are applying our integrated monocrystal furnace controlling system, which is high, tiny, automated, and integral and intelligence to the production concept, which will further improve production quality and efficiency. On the sales side, we expanded and updated PERC capacity by 4 gigawatt within 4 months, breaking an industry record. We also lead the industry in the mass production of 500 megawatts ultra-high efficiency N-type sales with leading conversion efficiency currently available.  On module side, we are maintaining our leading position in terms of module shipments, manufacturing cost and product quality, and leveraging our global footprint and fully integrated industrial chain. The competitiveness of products in the market today is driven by the technologies they incorporate. The ability to invest heavily in R&D and apply new technologies to the mass production is increasingly concentrating among a few players in the industry, who have the capacity, concentration and industrial scenarios needed to drive the process forward. We believe the market will continue to be concentrated among a few leading players going forward and will allow us to continue growing our market share over the next few years. On capacity side, our in-house mono wafer solar sale and high-efficiency solar module production capacity has now reached 11.5 gigawatt, 10.6 gigawatt and 16 gigawatt, respectively, at the end of the fourth quarter of 2019, given the rapid release of capacity as part of Phase 2 of the Leshan project and production and efficiency increase. From existing capacity, we expect our mono wafer capacity to reach 18 gigawatt in April 2020. Meanwhile, the 800 megawatt of ultra-high efficiency N-type sales project has reached full capacity in the fourth quarter of 2019. In addition, to meet growing demand of our innovative mass productive products, we will proactively expand mono -- expand module capacity by 9 gigawatt later from the second quarter of 2020. Before turning over to Gener, I would like to quickly go through our guidance for the first quarter of 2020. Based on current estimates and the impact from the outbreak of COVID-19, we expect total solar module shipment to be in the range of 3.4 gigawatt to 3.7 gigawatt for the first quarter of 2020. Total revenue for the first quarter is expected to be in the range of $1 billion to $1.08 billion. Gross margin for the first quarter is expected to be in the range of 19% to 21%. We will reiterate our guidance for full year 2020 shipments to be in the range of 18 gigawatt to 20 gigawatt.
Gener Miao: Thank you, Mr. Chen. Looking forward during the fourth quarter of 2019, our total shipment of solar modules reached 4,538 megawatts, a record high for the year. Total shipments for the full year 2019 was 14.3 gigawatt. This impressive performance allowed us to retain our #1 position in terms of shipments globally for the fourth consecutive year. In terms of regional growth, non-China shipments accounted for approximately 83% of the total shipments in 2019, an outstanding result, driven by our comprehensive global sales network and a localized professional team.  In 2019, the proportion of shipments to North America and Europe grew significantly, creating a more balanced sales portfolio among those markets. We also implemented strategic plans to deploy our services in key emerging markets by leveraging our global marketing networks. Product-wise, mono-based high-efficiency products as a contributor of the total shipment increased significantly from 44% in 2018 to 74% in 2019, which made Jinko to become not only the world's largest module supplier, but also the world champion of mono module provider.  As the world-leading module supplier, we understand the importance and value of excellent customer service play in distinguishing us from competition. In 2019, we closely monitored and analyzed the market demand to improve and optimize our global distribution networks. After having carefully studied the local policies and various technology-driven innovation practices, we further improved our operational efficiency and upgraded our flexible supply chain management system, which are expected to drive further improvements in customer satisfaction.  Looking forward into 2020, the proportion of non-China shipments is estimated to remain at 85% or so. The volume of mono PERC high-efficiency products will further increase up to almost 100% by the end of 2020. Meanwhile that of new product with higher energy conversion efficiency and power output will hit over 40%.  Geographically speaking, we will seize opportunities to generate steady growth in mature markets going forward to enhance market penetration by our high-end products and premium services, while contribute -- continuing to expand our business arms into different segments of each market over the next 3 years.  From a demand perspective, we are very confident and optimistic about the global market in 2020. Firstly, let me share with you some current updates in China. In the second half of 2019, prices, along with the supply chain system have been readjusted and recalibrated due to the delayed demand. As a matter of fact, project economic competitiveness in multiple provinces surfaced, making solar the cheapest source of energy available locally. The delayed announcement of the government subsidy policy in 2019 resulted in approximately 10 gigawatts of installation to be delayed to 2020. Early finalization of subsidy policy in 2020 is expected to [Technical Difficulty] we are getting from our partners, project developers, and the financial institutions. Lastly, we increased our investment into R&D in 2019, and launched the Swan Tiger and N-type high efficiency product targeting different market segments and clients. New products with strong demand received a very positive popularity. Throughout 2019 we deepened our interactions with our client and other market players. We participated in 257 marketing events globally for our key clients, doubling the amount in 2018. I see a very strong demand in 2020. And I remain very optimistic about our first-class brand, reliable customer service, mature supply chain, along with the deployment of marketing campaign with further strengthening our global reputation for producing cost-effective and reliable high-efficiency products. With that, I will turn it over to Charlie.
Charlie Cao: Thank you, Gener. The financial results are very strong, with quarterly and annual module shipments total revenues and gross profit breaking historical record. Looking to 2020, we are very confident about our sustainable growth. We continue to strengthen our product portfolio by promoting new high-efficiency products. We further solidified our shipments and expanded global market share by taking advantage of our top brand global manufacturing and sales and marketing footprint. Meanwhile, the planned expansion of integrated production capacities and leading cost structures will drive our future profitability. Furthermore, we continuously strengthened our balance sheet. We planned to reduce our leverage ratio. Our production capacity expansion will be funded by our strong operating cash flow and onshore renewable infrastructure funds.  In addition, we are selling international solar projects. In Q4, we entered into an agreement to sell two solar projects in Mexico with a combined capacity of 155 megawatts. We are in the process of fulfilling the contractual obligations and expect to close the transactions by April. Once the transaction is completed, our total debt will be reduced by $131 million. It's consistent with our strategy to focus our solar manufacturing business.  Turning to Q4 results. Total revenue increased to $1.37 billion, up 27% sequentially. Gross margin was 18.2%. Excluding the AD/CVD reversal benefit, gross margin was 18.1% compared to 18.5% in Q3. Gross profit was $248 million compared to $223 million in Q3. EBITDA was $161 million, up 60% compared to $100 million in Q3. Non-GAAP net income [Technical Difficulty]. 
Operator: Ladies and gentlemen, we apologize for the technical difficulties. Can you stay on the line as we try to resolve this. Once again, apologies for the inconvenience.
Charlie Cao: Turning to the Q4 results. Total revenue increased to $1.37 billion, up 27% sequentially. Gross margin was 18.2%. Excluding the AD/CVD reversal benefit, gross margin was 18.1% compared to 18.5% in Q3. Gross profit was $248 million compared to $223 million in Q3. EBITDA was $161 million, up 60% compared to $100 million in Q3. Non-GAAP net income was $62 million. This translates into non-GAAP diluted earnings per ADS of $1.40. The operating expenses accounted for 11.9% of total revenue compared to 12.8% in Q3. The decrease was due to a decrease in shipping cost as a percentage of revenue because shipment to China accounted for a higher percentage of total shipments in Q4.  Now I'll brief you on our 2019 full year financial results. 2019 was significantly stronger than 2018. Total solar module shipments were 14.3 gigawatts, up 26% year-over-year. Total revenue was $4.3 billion, up 19% year-over-year. Gross margin was 18.3% compared to 14% in 2018. Excluding the AD/CVD reversal benefit, gross margin was 17.5% compared to 13.2% in 2018, versus the substantial increase cost contributed by growth of our integrated production capacity in the second half of 2019, the continuous reduction of manufacturing costs and our highly diversified global sales network. Operating expenses were 12.4% of total revenue in 2019 compared to 11.5% in 2018. The increase was due to an increase in shipping costs as a percentage of revenue, driven by a higher percentage of shipments to the international markets. EBITDA was 304 -- $376 million compared to $224 million in 2018. Net debt versus EBITDA ratio was 2.7x, significantly improved from 4x in 2018. Non-GAAP net income was $139 million compared to $53 million in 2018. This translates into non-GAAP diluted and basic earnings per ADS of $3.29.  Moving to the balance sheet. At the end of Q4, our balance of cash and cash equivalents were $895 million compared to $580 million at the end of Q3. AR turnover days improved to 58 days compared to 63 days in Q3. The inventory turnover days reduced to 67 days compared to 93 days in Q3.  Total debts were $1.9 billion at the end of Q4, among which $294 million was related to international solar projects, compared to $1.7 billion at the end of Q3. Net debt was $1 billion compared to $1.1 billion at the end of Q3.  We reiterate our guidance of total solar module shipments for the full year 2020 in the range of 18 gigawatts to 20 gigawatts. CapEx for 2020 will be around $350 million.  Operator, let's go to the question-and-answer section. Thanks.
Operator: [Operator Instructions]. Your first question is from Philip Shen, who's from Roth Capital Partners.
Philip Shen: Congrats on successfully navigating through the coronavirus disruption in your operations. I can imagine, I think, it was a pretty tough challenge. That said, it looks like we're likely going to get a substantial amount of demand destruction in the U.S. and Europe. How do you plan on navigating that -- the likely demand issues in these two regions? I think they could be nearly 50% of your revenue in 2020. Are you hearing yet of any cancellations? I know it's early, but what are your customers telling you? I think you guys have pushed out a bunch of shipments from Q1 into Q2. What's the chance that we get substantial line shipments being pushed from Q2 into Q3?
Gener Miao: Thank you, Philip. This is Gener. Actually, we are actively talking to our customers all over the world, including Europe and U.S. Actually -- right now, the current feedback we got from customer end is they still need the products and pretty urgently. And one side, the market demand is still there. And on other side, there's a short of supply in Q1 because of the situation in China. So they are expecting to compensate the loss and catch up with their, say, progress of the revenue for rest of this year.  What we heard beyond Italy, all the rest of Europe are still in the normal position, and we do not hear any outbreaks or any troubles with delivering our goods and deliver the contracts. Equally, because of blackout, we are experiencing some logistic bottlenecks. Mainly, it's not a canceled deal or canceled delivery, it just caused longer time for the inspections and clearance. But still, everything are still in the right track right now. But we are closely following our customers and end markets to see if there's anything happening soon.
Philip Shen: Okay. I know it's a real-time situation. So it's in fluid. So I can imagine we'll be getting more updates later. As it relates to capacity expansion, there's been a lot of announcements by your peers. Between -- what's interesting now is, as you guys ramp up, and when I say you guys, the China ecosystem is ramping up, there could be this demand slowdown. It seems like a potentially tough situation. Are you seeing any potential impact on -- what are you hearing about pricing for 2020? Is there a chance that pricing could be incrementally lower than what you guys had expected back in November? Thanks for addressing this issue.
Gener Miao: Thank you, Phil. The market price side, what we hear or what we are looking at right now is still the market price comes down a little bit compared with, let's say, Q4. But still, in general, it's stable between Q1, Q2, and all the deals we are looking at rest of this year -- in 2020, it's mainly still because there's an expectation of short of supply for Q2, even for Q3 because people need to catch up. There's a lot of delayed demand to be shipped to use the Q2-Q3 capacity to compensate. So in general, the high-quality, high-efficiency capacity are still in short of supply in short-term. In long-term, we believe, the solar industry as a whole needs to continue to improve ourselves to provide a better economic in terms of the resources -- sources of the power market. Hope that answers your question.
Philip Shen: Yes. And then my last one here is, when you guys provided guidance back in the November for Q4, the implied kind of blended cost per watt was roughly 22-ish cents. But our back of the envelope calculation for the actual Q4 blended cost per watt was closer to $0.24 after maybe backing out some project sales. Can you talk about how -- why it came in so much higher, the cost per watt, for Q4, when you gave the guidance in November, so you already likely shipped the modules for December? So did something in December -- did the cost in December come in much higher than planned? Or if you can give us some color there that would be great.
Charlie Cao: Philip, I think there may be some mixed interpretations for the cost structures. And the fact is our in-house integrated production costs continue to improve through the fourth quarter, and we are very confident that now we are leading -- we are one of the leading integrated module producers with cost leadership. And I'm not sure how you calculated ASP with this blended cost. And one of the factors may be, I think, it's an integration level. And if you look at our Q4, the total shipments, 4.5 gigawatts, which is significantly higher than the third quarter shipments. So -- of course, our internal productions for the mono wafer, PERC cell continue to increase, but if you calculate the integration levels, I think, for the Q4, given the strong shipments, significant up at our integration level, and it's relatively lower than the third quarter.
Philip Shen: Okay. Maybe from a calculation standpoint, we're just -- I'm just simply taking the -- from the guidance for Q4, just taking the shipments and the revenue guide and then expected gross margins seems to be blended.
Charlie Cao: Yes, just to supplement. Yes -- of the total revenues, roughly -- for the Q4, we have roughly -- 6% of revenue is from the sales to third-party for the multi wafer and low-efficient cell. And we continue to operate. The legacy multi wafer capacity is roughly 3.5 gigawatts, and our products have been shifted almost 100% to the mono modules. So we produce multi wafer, and we sell to the third-party. And the margin is low, but we still make some very tiny net income from the multi wafer business. So that -- you need to -- when you calculate the ASP, et cetera, you need to exclude the 6% revenue, which is not relevant to the solar module. So I think that will get more accurate blended cost.
Operator: Your next question is from Karl Liu [ph] from CICC.
Unidentified Analyst: My first question is about the guidance of the gross profit margin in the first quarter. So we have 19% to 21% gross margin guidance. But we are seeing the gross margins slightly declined in the fourth quarter. So could you please give us some guidance on the -- on how we achieve the better gross margin in the first quarter? Whether it's coming from the product mix improvement from high-efficient products or from -- whether it's from cost reduction? And we have a -- I have a follow-up question.
Charlie Cao: Okay. It's really a very wonderful question. We delivered roughly 18.2% of gross margins in the fourth quarter, which is relatively lower than our original guidance, the 18.5% to 20.5%. And that is because we have higher multi wafer revenue that is -- which is not in our original estimations because we plan the multi wafer sales based on the weekly basis to weekly basis. And as such, we make tiny margins. We will continue the production and sell to third-parties. But for the multi wafer, the gross margin is pretty low. It's roughly 5%. So it's impacting to the blended gross margin.  The second thing is, the solar margin shipments is 6% higher than our estimations. And for the [indiscernible] shipments, it's not from our internal production. We need to buy the cell -- solar cell. We need to assemble the module. The margin is relatively lower, significantly lower, actually than our -- gross margins from our integrated produced modules.  So back to your questions. The fourth quarter is relatively lower, and 2 factors: One is, we have more revenues from the multi wafer. Multi wafer's margin is low. Second one is, module shipments is higher than what we expected, but the [indiscernible] part in the margin is lower because we need to buy solar cell from third-party. So that is the key reason.  And for the Q1, we are looking to increase our blended gross margin to 19% to 21%. And it's -- firstly, as you know, in Q4, we have roughly 30% to 35% shipment to China. China's ASP is relatively lower. And in Q1, we have lower shipments to China, roughly 10% to 15%. From the ASP perspective, because of diversifications more to international markets, ASP is relatively more stable. This is first thing. And the second one is, because our -- the second phase, 5 gigawatt mono wafer is in ramping up stage and it's going to ramp to full capacities in April. So we produced more mono wafer by ourselves during the first quarter, which means we -- our integration level is higher -- dramatically higher than the fourth quarter as well as we continue to improve our internal production costs. And that is the key fundamental reason to increase our gross -- to have higher gross margins in the first quarter.
Unidentified Analyst: Okay. So we both have the product mix improvement and cost reduction because the integration percentages increased, right? So we have more mono wafter capacity rather than we should buy from third-parties, right?
Charlie Cao: Yes. Yes. The first key -- the first -- the most important driver is integration level is higher, and we have more mono wafer production by ourself. And second one is, we have more mix to international markets. Our ASP is relatively stable quarter-over-quarter. And on top of that, we still improve a lot of -- a little bit in production costs because in Q1, there sometimes cannot charge, and in terms of certain materials, the material cost is relatively higher. But with internal production costs, there's some improvement.
Unidentified Analyst: Okay. Yes. So can I have some color on the -- you mentioned about the integration percentage. If we can compare with the fourth quarter, whether we have the -- what's the percentage of integrating level -- in-house level, maybe, in the fourth quarter of 2019? So do we have this number?
Charlie Cao: Yes, we have. And roughly -- when we calculate the integration levels, we use the mono wafer productions, which is -- and the cell productions and average the total. So for example, in Q4, we produced mono wafer roughly 2.8 gigawatts and cell 2.5 gigawatts. So roughly, the integration level is 2.6 gigawatts, which is 4.5 gigawatts. Integration level is relatively lower than 60%. And for the Q1, given our shipment is relatively lower, 3.4 gigawatts, 3.6 gigawatts. So I mean roughly 65% to 70% integration level.
Unidentified Analyst: Okay. And may I add up a question about the demand side. So we are seeing the coronavirus not only impact on China, but also in overseas. So can we have some color on the, maybe, order book now? What's our visibility in our guidance in the 18 to 20 gigawatts of this shipment this year? So do we have some visibility in the order book this year?
Charlie Cao: Yes. So first, I'll take the question and then maybe Gener can supplement. And actually -- the virus -- the impact in China actually is -- firstly, it's a surprise impact. So we are seeing the acceleration of order visibilities [indiscernible] 2 months. And we have a size roughly over 55% of 20 gigawatts this year. On top of that, we have a couple of gigawatts in framework arrangements. And we're very confident we can achieve 20 gigawatts. And because we roughly have exposure to over 100 countries, and we have capabilities, let's say, to mitigate some risk from some certain countries because of the demand, maybe some disruptions in certain periods, and we are able to manage it. And in some countries, we can ship more versus other countries because of demand disruptions. We can manage it. So I think we are very confident. That is why we don't change our full year guidance of 20 gigawatts and capacity expansion plan. So Gener, would you like? 
Operator: Your next question is from Maheep Mandloi from Crédit Suisse.
Maheep Mandloi: Apologies if I missed it earlier, just having some technical issues here as well. But I know that the coronavirus situation is changing on every hour, everyday basis. But to the extent if demand is actually lower-than-expected for the year, can you talk about any flexibility you have in your shipments or your CapEx plan for the year? Or if you could delay any of the capacity expansion plans scheduled for later this year?
Charlie Cao: So if I get your question correctly, you're talking about the capacity expansion plan, right? And this year, we increased the mono wafer. Actually, the mono wafer capacity, we started the ramp up from the Q4 last year. So it's almost done for the mono wafer. And we will reach to 18 gigawatts in April, next month. And we are continuing to increase output. The total capacity has reached to 19 gigawatts, mono wafer capacity, by the end of this year. So for the mono wafter, it's almost -- it's 100% done. And on top of that, given we have the goal to reach 20 gigawatts, and we have only 16 gigawatts mono module capacity by the end of last year, and we plan to increase 9 gigawatts mono module capacity throughout this year. And the module capacity will come up by the end of the second quarter.  So I think we don't have the plan to change, right? And if you look at the long-term perspective, let's say, the next year, I think we can deliver 30% growth. And so -- and the mono capacity is CapEx not intensive, and we are -- the customer likes -- we are doing the next-generation TR technology capacity, not standard capacities. And just back to general traction, for the high efficient and advanced capacity, we are expecting from here to be in shortage, the supply shortage. So back to your question. We don't have a plan to change in terms of our mono -- module capacity expansion plan.
Maheep Mandloi: Fair enough. And then...
Gener Miao: Yes, Maheep, it's Gener. Yes, sorry, Maheep. This is Gener. I think I can explain a bit more from the demand side to help you understand why we are keeping our original plan. Actually, if we look into the demand side, it's -- no matter which analyst report it is, even the lower range will be over 100 gigawatt anyways, right, even the most conservative one, right? So it's a huge market demand compared with the expansion or the capacity we have. As the top player in this industry, I think that we are always, let's say, prioritized as a preferred supplier for all of our clients. So whenever our client has a demand, they wanted some products, they ask Jinko first, do you have such capacity availability? So that's why all the top-tier supplier like Jinko are always having sufficient order book.  Meanwhile, our expansion, like, what Charlie just said, very important part of the CapEx is, of course, increased integration level we have, which is having margin cost wafers at times. They are very critical to improve our cost structure. Meanwhile, we are upgrading and expanding slightly for our module side, which gives us competitiveness to continue to supply the high-efficient and high-end products, which is always welcome and preferred for any customer all over the word. So follow those two logics, we still believe the market is huge, and we are the preferred supplier with short of supply of high-efficiency products. Meanwhile, we can continue to improve our cost structure. So that's why we continue to expand according to our plan.  Meanwhile, actually, the coronavirus impact has not significantly impacted the market till now. All of our customer and the project side has stick to their plans, and we have been requested to ship out all the modules and follow the schedules closely. So we have not received any signal from our customer, saying, hey, please stop [indiscernible] big impact because of the virus, still not. Even some of our Italian customers are continuing to ask us to ship those products, even if the logistics takes longer than expected.
Maheep Mandloi: Got it. That's helpful. And then could you just remind us of how much integrated capacity you have for the full year for 2019 versus -- the in-house -- for the in-house mono PERC capacity versus the 20 gigawatts of shipment target?
Charlie Cao: Maheep, the 20 gigawatt shipment is roughly 99%, almost 100% is mono -- mono-based, high-efficient products. And if you look at the capacity integration levels, we will reach 19 gigawatts mono wafer. So almost 100% were supplied by ourselves. And 11 gigawatts PERC cell, right? And we need to do the OEM for the gap and for the cell capacity, which is 20 gigawatts, the gap. And for the margin capacity, almost we produced ourselves. We are able to reach 25 gigawatts, and we plan to produce 20 gigawatts module. So the gap is under the cell, which is we are able to do the OEM and using -- and convert our produced mono wafer to cell. If you compare year-over-year, 2020 with this 2019, the integration level has dramatically increased.
Maheep Mandloi: Got it. And so just keeping that higher integration level in mind and the higher mix of Chinese production or Chinese supplies this year, and your visibility in pricing, can you talk about your expectations for gross margins for rest of the year based on your contracts?
Charlie Cao: Yes. Our targets and gross margin is a conservative estimation. For the integrated production mono modules, our target gross margin is 20% to 25%. And some of new products and margins are relatively higher. For example, the TR modules. And for example, in N-type, the margins, is dramatically higher than the 20% to 25%. And in terms of the blended gross margin, when you do think about the cell, we need to do the OEM, right? And it's roughly -- we believe, it's roughly high-teens blended gross margins throughout the year. And we have some target for the net income as well, and it's roughly 4% to 6% net margin -- net income margin, and the converted to net income is roughly $200 million to $300 million this year.
Maheep Mandloi: Got it. That's helpful. And then probably just 1 last question from me, and then I'll leave it for others. On the residential solar market product, the TR product, could you talk about, like which markets are you launching them? And how much -- like, is it U.S., Europe and other markets? And how much price premium do you expect on those products versus selling into utility solar firms?
Gener Miao: Yes. Thank you, Maheep. I think this new product, we're launching, targeting under the special market, mainly covering all the main residential markets, including like U.S., Europe, Australia, Japan. All the major residential market has been well covered and advertised. The premiums we can gather from the market is very high. It's almost 20 -- 15% to 20% higher than the standard products or, let's say, commodity products. So we're expecting that products will be contributing a lot of good reputations and customer feedback for Jinko.
Operator: Due to the interest of time, this will be our last question, who will be from Alex, who's from UBS.
Alex Liu: I've got two questions. One is regarding to your capacity expansions. So I saw you had progressively smaller capacity expansion plan in the cell segment compared with your wafer and module expansions. So what's your strategy and the logistics about -- behind this? Because it seems like it should have more watts to integrated capacity across the supply chain? My second question is about the ASP. So what's your views and expectation about the ASP across the supply chain across the year, I mean, in the next two quarters from polysilicon, wafer, cell and module?
Charlie Cao: In terms of first question, we do investment in CapEx. And we look for the long-term. We look for the 2 to 3 years. We don't look just for 1 year. And we make -- if we make the investment, we want to make sure the capacity is more competitive in the next 2 or 3 years. And at the same time, we target the return period, let's say, investment return period less than three years. But on top of that, there is a lot of considerations and what's kind of process -- procedures or steps we're going to invest. Are we going to invest on the mono wafter? Are we going to invest on cell versus the modules? And we need to evaluate the technology risk. And back to -- last year -- at the beginning of last year, we have decided we were not going to invest on the traditional standard PERC cell capacity because we believe it's not the next-generation technology. And that is why, last year, 2019, we rolled out the 800 megawatts N-Type TOPCon HOT technology in our pipeline. And the result is very, very promising. And the 800 megawatts N-Type cell conversion efficiency have reached to 23.3%. That is a very good result, and we plan to increase to 24%. And -- so for the next step, we continue to evaluate.  And it's for sure, we are not going to invest on the PERC cell, and we are going to invest on the N-type, but it's depending on the customer demand, the technology, maturities and the economical returns. So for the second question, I think, you're talking about -- yes, maybe, Gener, please?
Gener Miao: Yes, I will take the second question for the ASPs. Actually, ASPs for the contract we signed, I think that's pretty firm contract with a firm commitment. So that's that kind of fixed ASP for that, as I say, over 50%. And for the rest, around 40% to 50% of the contracts that you still -- we still stick to the market. Even we are capable to get some premium ASP against the market price, but still we need to follow the market price, right? So market prices really depend on this -- right now, at least in short term, our view is in Q2, Q3, especially, the market is still in short of supply because of the coronavirus impacted Q1 China supply. So all the customers are desperate to get more supply, get sufficient supply. So we have seen very robust demand for Q2 and Q3. We have anticipated a quite stable market price for the short term. In the midterm, let's say, 6 months, even beyond, we believe this coronavirus outside China impact will take into effect that if the demand has got delayed, somehow we are anticipating the market price to start to drop. If all the governments can fight against this virus issue and I know we can pass this through, we believe the market price will stay healthy, let's say, slightly increase quarter-by-quarter.
Alex Liu: Okay. So do you expect the price will be bringing -- brought down when China started bidding for the project in 2020, because it seems like we may need lower module price for the new project in 2020 in China, right?
Gener Miao: Well, it's still in the bidding process for the new projects for the China demand for at least middle of this year, at the end of Q2, beginning of Q3. We see the China demand is mainly driven by the 2019 projects, right? So either that is delayed schedule for Q1 installation get delayed into Q2, Q3, or is all the 2019 grid parity projects, they need to finish installation by mid of this year. So we have seen all those demands are driven the market in -- market demand in China, which saying the -- and also given the intense or, let's say, short of supply side, we believe the market price will be kind of stable. While, in Q4, we need to see how this 2020 China grid parity or the China project auction goes. All the people are expecting the auction price could be more rational and reasonable, especially given the module side have a more advanced technology, can provide a more competitive LCOE. We do not see a sharp drop in the Q4 right now.
Operator: Ladies and gentlemen, this concludes our conference for today. Thank you all for your participation. You may all now disconnect.